Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Agnico-Eagle Mines First Quarter 2013 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded today, Friday, April 26, 2013. And I would now like to turn the conference over to Mr. Sean Boyd, President and Chief Executive Officer. Please go ahead, sir.
Sean Boyd: thank you, operator and good morning, everyone, and thank you for joining our Q1, 2013 conference call. I would like to remind those that are interested that our annual general meeting is also this morning at 11:00 at the Sheraton Centre Hotel. You're all welcome to join us for that meeting. And I'd also like you to take note that this conference call does contain forward-looking statements. So please be forewarned that there's estimates here, and you can see the full forward-looking statement on our website and it's included in this presentation. In summary, as we indicated, 2013 was going to be a building year for Agnico-Eagle. We've made good progress in the first quarter, our operations and our production, our costs were on track. And also, our 2 development projects, Goldex and La India are on budget and ahead of schedule. So we got off to a very good start in 2013. Our Q1 production, around 237,000 ounces, is where we thought it would be, also tracking on a unit cash-cost basis where we thought our unit cost would be. Our cash flow is about $150 million, $0.80 a share. As we indicated, our Goldex project has now been advanced to the fourth quarter of 2013, and we're anticipating the Goldex mine to produce about 15,000 ounces of gold in the fourth quarter. But you should take note, those ounces will be at higher unit costs because of it being a startup situation. La India, we should have -- start to commission that late this year, and we expect to be in commercial production in the first quarter of 2014, which is a quarter ahead of the originally planned schedule. At Kittila, we've had an extended maintenance period required, an additional, approximately 1 month, due to the need to fully re-line the autoclave. We're still on track for our 2013 production guidance, so that remains unchanged at 990,000 ounces. If we look at sort of our individual operations, all of them are sort of tracking where we expected them to be. Our operating margin at the sites was almost $200 million from the mines, we saw a good, a solid steady performance coming out of our operations in Mexico. We saw a good solid steady performance in what is generally our most difficult quarter at Meadowbank and we also had good performance from the remaining part of our business. Our production is well spread out among a number of our mines, so good balanced portfolio. And as we indicated, with Goldex and La India starting ahead of schedule, we will have 7 producing mines in a matter of a few quarters. As far as financial results go, we, as we said, generated operating cash flow of almost $150 million. Our unit costs were higher than they were last year, and a big part of that was a decline in the byproduct revenue coming out of LaRonde, where we saw just on the metal content, about $10 million less in byproduct revenue coming out of the LaRonde mine in the first quarter of 2013 than the year-over-year quarter beginning of 2012; and on a corporate basis, that is about $50 an ounce. So that's where we saw a bit of difference on the cost side. We should see improving costs at LaRonde as we ramp up our gold production and our development, as we'll indicate in a minute on the LaRonde slide, has gone quite well in terms of construction and getting in a position to provide additional cooling and ventilation. Our financial position remains strong, we have net debt a little over $500 million. We have a fully undrawn credit facility of $1.2 billion. On our financial position slide, we've put in our debt maturities, just to give you a sense of what our principal repayments are. Our first principal repayment is not due until 2017 and the initial payment is $115 million, the next payment is not due until 2020. So we've got extremely good financial flexibility and a lot of liquidity available to us to continue to move the business forward. In terms of net free cash flow, this year, we're going to reinvest back in our business and sustaining capital and capitalize exploration a little over $600 million. We've accelerated some of the Goldex and La India CapEx due to the earlier start on those projects into 2013. We do have a fair amount of flexibility going forward in terms of how we allocate capital. The vast majority of capital going forward has still not been approved. We have, in the past, estimated our rough ballpark capital to continue to grow the business and invest in projects like Meliadine to be around $600 million. Of that, about $350 million is subject to approval based on the quality of the investment opportunity and the prevailing market conditions at the time. So we do have flexibility in terms of how we choose to allocate our capital going forward in the event that we have a continuation of the volatile gold prices that we've seen. We're really not having to make a major capital decision until late next year, and that will be when we have the final feasibility completed for the Meliadine project. As far as the individual assets, at LaRonde, we indicated a steady quarter. Our cash cost per ounce were impacted by lower byproduct revenue. Just to give you a sense of the impact that the lower byproduct revenue had on LaRonde's cash cost, it really amounted to about $300 an ounce was the impact for lower byproduct and content. So there's a bit of a gap there between the decline in the byproducts and the increasing gold production, which we'll see continuing over the next several quarters. Our overall operating flexibility continues to improve and does improve on a quarterly basis. Our underground development is progressing as planned as is the construction of the ventilation and cooling systems. Our cost per tonne at around $98 was on budget for the quarter. At Lapa, we continue to see steady performance even though that's a difficult underground mine, it's narrow, the team continues to do a good job there. We've had steady cost performance there in terms of cost per tonne, slightly below budget, and we've seen that for roughly the last 3 years. So even though we've seen a slight increase in unit cost corporately on a cost-per-ton basis, our mines are actually doing extremely well. In Kittila, we had record recoveries in the quarter approaching 92%. As we mentioned, we'll have a longer-than-planned scheduled maintenance that'll take us towards the end of June instead of the end of May or early June. Now, that's going to impact us by about 10,000 to 15,000 ounces of production at the Kittila asset, but we will make that up with the early start of Goldex. One of the nice things about Kittila, they have transitioned to entirely an underground mining situation, and the cost per tonne in euros at $77 was below budget, so we're getting good cost performance in Kittila. In Mexico, we continue to see excellent performance there, our cash costs around the $300 mark. We had an earlier start of the Creston Mascota about 1 month, so things have gone well in terms of the Phase 2 startup. Our mill at Pinos Altos has seen an increase in the throughput by about 6% in the quarter. So again, we continue to optimize that mine, continue to make it more efficient, and it continues to be one of our largest cash flow generators. At Meadowbank, as we said, another solid performance. Our cost per tonne, slightly below budget. We're slightly below $90 a tonne, recovery's been good, the grade's been good. Our ability to handle tonnes has been slightly above our estimate, so that's just not a function of being able to process those tonnes, we've been able to move waste and get a mining rate of about above 11,000 tonnes a day. Well, continued steady performance there. On our development projects, as we said, La India, on budget, ahead of schedule. Not a surprise it has gone well. It's the type of project that our team down there has become accustomed to building, and as a result, we've seen good performance there. Both Goldex and La India, having moved them forward in the timeline, are going to positively impact our estimates for production in 2014 as of the early start. At Goldex, ahead of schedule, on budget as well. But as we said, high unit cost during the initial startup phase when we're producing 15,000 ounces in the fourth quarter of 2013. We also continue to drill that project, drilling the satellite zones. So both Goldex and certainly, La India, with the sulfide mineralization, and we're also looking at the possibility of a starter pit at Tarachi. Both of the new projects also have the potential to have add-ons and additional investments and returns from those projects. So just in summary, before we turn it over for questions, a good steady solid start to the year in terms of production and costs and in terms of our development projects. There's no real change in our strategy to move the company forward. We certainly understand the volatility in the gold market. And the way we look at our business is that we do have a choice in terms of capital expenditures, amounts and timing going forward. We certainly have choice in terms of exploration, expenditures on grassroots with respect to timing and amount. We have a lot of liquidity available to us. Our job is to keep moving the company forward steadily, a measured, executable growth, and to protect the dividend. And so we have a business that is relatively straightforward and simple with these mines now more mature, more predictable, and we're going to just continue to move the company forward steadily in a very managed way. And I'll just close. We were certainly getting a lot of questions and interest in our investment strategy. We actually see this as a time where we should be active. We have an active project evaluation group, some of our recent investments, we have been following for a couple of years now. And it just so happens that the timing lines up in terms of interest from the junior companies and our evaluation, that things have matched up that we've had these opportunities present themselves to us. This is something that this company has done for decades and done successfully for decades, it's a big part of our strategy and how we got here. And as we've said many times before, if you look at our current reserve base, 3 quarters of it is a function of acquisitions we've made since 2005. So we'll continue to be active with the strategic investment portfolio. We'll continue to work with those companies we have investments in, to advance their projects, that gives us a better understanding of the risks and opportunities surrounding that investment. And as we've said, that's something that we've used quite successfully in the past and that's something that we feel is important for us as we look to move our business forward. So on that, operator, I'd be happy to turn it over for questions.
Operator: [Operator Instructions] Your first question today will come from the line of Jeff Wright of Global Hunter Securities.
Jeffrey Wright: A couple of quick questions on LaRonde. Clearly, via the byproduct metal, grades were down. Do you anticipate any partial recovery of those through year end as the gold grades gets better? Or should we just get used to the new grades on the silver, lead and zinc?
Sean Boyd: Yes, it should be steady. There is additional base metal ore, essentially in the upper part of the mine, that's there as a cushion if we need to go after it. So we do have a bit of flexibility in that mine. But I think we've said all along that we saw a quicker drop off in the byproduct metal content, certainly quicker than how quickly we can get the gold ramped up, so that's just a phase we're going through. Now the key for us at that mine is to advance the development, make sure the construction's on schedule so that quarter after quarter, we improve our operating flexibility in the lower mine. As you know, we're mining at grades that are around half of our reserve rate, and we have been mining at those levels for the last few years. We'll be continuing to mine below reserve rate over the next couple of years as we ramp up. So as we go into 2016 and beyond, we'll be at or above reserve rate, which is going to drive our gold production up over 300,000 ounces. So that's how it plays out over the next few years.
Jeffrey Wright: Okay, that's definitely understandable. Other question I had was on Kittila. Given the additional downtime, is there any added capital we should consider with the mill or any other capital improvements outside the autoclave that are being made during that period? Or is it really just -- is it revolving around the autoclave?
Sean Boyd: No. I think in terms of the additional time required for a full reline, you're probably about $2 million to $3 million in additional expenditures to do that work. So that's really the end result of that.
Jeffrey Wright: Okay. And then once we get past that in Q3, Q4, do you see a much more efficient operations? Do we look at any improved efficiencies on the production side? Or we'll just go back to the -- where we were in, say, 2012?
Sean Boyd: Well, I think -- yes, I think we're -- I think in the quarter, we saw some really strong recovery. So our expectation going forward on a restart, we should continue to see strong recoveries. But I think with a fully relined autoclave, that's the type of maintenance you do every 5 to 7 years, so I think that will help us over the next 4 to 5 years in terms of having done the full reline right now.
Operator: Your next question will come from the line of Greg Barnes of TD Securities.
Greg Barnes: Sean, you talked a little bit about your corporate development or M&A strategy here, but I think for the first time, you may have started to talk about looking at producing assets rather than just the juniors. Do you want to talk about that a little bit?
Sean Boyd: Yes, I think that what we've done as we sort of ramped up our resources in the project evaluation group is, we have said to them, broaden your horizons, broaden your scope. And what I said I would like from them as CEO is significant files on a number of opportunities that may or may not come available, so that we have the information and the analysis in hand. And I think we've seen a lot of valuations very depressed at the moment. So we would prefer to be prepared and understand what opportunities are available there for us, but we should put it in the right context. Over our long history, we have never really put ourselves in a position where we're going to bet the company on a single transaction, that remains the case. We would be interested in smaller assets that have upside where we could add value. But at this point, there's nothing that we see right now that we need to own along those lines.
Greg Barnes: And how do you measure that against Meliadine? I know there's a lot of discussion out there at the moment about this gold price on whether Meliadine works or doesn't work. How does it fit?
Sean Boyd: Well, that's a good point. And I think part of that point comes around or involves timing. And as we explained early in the conference call, our timing on Meliadine is sort of second half of next year when we'll have the next round of drilling done, having that incorporated in an updated reserve and resource, having the feasibility upstate updated to be in a position to make a production decision later next year. And if we decide to go, that would give us 3 seasons to build, which would put it into production in 2018. But your -- what we said to the team at Meliadine, continue to work but present us with options as you look at it. And so it's not just the Meliadine technical team that we're looking for options from, it's the entire company. Whether it's internal opportunities in Mexico, internal opportunities in the Abitibi, external opportunities that we see that may be a fit, we want a host of choices to make on how we should allocate the capital available to the company. Because we all know Meliadine is $1 billion plus, and we have to make a decision as a company at some time before the end of next year, what's the best use of $1 billion plus. But I would say this about Meliadine, it's our largest single deposit. We have 100% ownership of a major greenstone belt, it continues to grow, it has the potential to be a 400,000-plus ounce a year producer. So we have to keep working, we have to keep moving it forward, we have to keep understanding the opportunity, but it's something that is not 100% based on timing. As you know, this is the mining industry, we were patient with Goldex, it took us 37 years to figure it out. We'll have to look at it in the context of what makes the most sense for us at the time and take into consideration the prevailing market conditions, as well as the quality of the investment opportunities to us.
Operator: Your next question will come from the line of Stephen Walker of RBC Capital Markets.
Stephen D. Walker: Sean, just a follow-up question on the autoclaves at -- sorry, at Kittila here. The original maintenance was 40 days, but now it looks like it's going to be closer to 70, 75 days? Is that how we should read the delay in the -- as worded in the text? I'm curious, what effectively nearly doubled the downtime on that? And as part of that same question, is the integrity of the stainless steel lining and the units themselves, is there anything that has come up, that in the re-breaking of the entire unit, that suggested that there might be some issues there?
Sean Boyd: I'll give Jean Robitaille the mic and he can answer that, Steve.
Jean Robitaille: Hi, Steve. In fact, instead to replace the one layer, we are replacing the 3 layer and we will, in the same time, replace the membrane what will be a usual overall of the autoclave. We have a minor corrosion that we'll touch. It's not just stainless steel shell, it's a carbon steel, so nothing unusual in that kind of maintenance. So that explains the 40 days raising up at 70, 75 days. We'll take the benefit also to adjust the autoclave for the extension. A part of the adjustment will be already done, so it's -- we'll take the advantage of that shutdown to start some modification inside of the autoclave.
Stephen D. Walker: And then Sean, just the line of credit. Could you confirm that you still have full access to $1.2 billion in the line of credit? And what are the covenants associated -- are there any unusual covenants, or what are the principal covenants with respect to the line of credit?
Sean Boyd: I'll turn it out over to Dave.
David Smith: Steve, no, there's certainly no unusual covenants in that, and the entire $1.2 billion is available.
Stephen D. Walker: Okay. And just one last question on Meadowbank, if you would. Could you give us a sense of the 2 points. First of all, a grade reconciliation in the first quarter to the mine plant, could you comment on that? And then you mentioned obviously, the higher grades into the second half of the year, what could we expect in the way of grades, call it, first half versus the second half? And then how is the reconciliation of the mine grades here in the first quarter?
Sean Boyd: Yvon will answer that one, Steve.
Yvon Sylvestre: Steve, I think the -- on the reconciliation side, some of the bits does reconcile a little stronger on grade. On the one pit, on one section of the pit is also reconciled and also more tonnage. We said all along, in our initial year-end guidance, that grade would also improve as we move on to stripping in the Southwark ash pit and the Goose pit. So we will move to stronger grades towards the year as for we've identified our guidance.
Stephen D. Walker: Okay. Can you give us a sense what those grades are? Or have they changed from the guidance that was given at year end?
Sean Boyd: Well, they haven't changed from the guidance. In Q1, it was 2.7 grams, so we should see an increase in the second half. And in the first quarter, we didn't really have any of those higher-grade pockets that we saw last year in June and August. We'll see some of those later on in the year.
Operator: Your next question will come from the line of Patrick Chidley of HSBC.
Patrick T. Chidley: Just wanted to ask about some of the projects that you've got and what they look like at current gold prices. For example, the Goldex project, how does that look in terms of returns at the current gold price?
Sean Boyd: Well, we were running the returns when we decided to go ahead with that at 1,500, and we were [ph] getting rates of return in the high teens, so it's a little bit less than that on today's prices. The restart at Goldex is really one of building the base case model that was presented to us, to see whether the follow-up-3 or 4 cases, which is to develop the additional satellite zones, makes sense. And so there is some upside there, we'll be in a position by early next year to decide whether we continue on with the subsequent satellite zones. The bigger prize is really the D Zone, and we continue to drill that D Zone. There are some cases on the table, which would see a potential 50% increase in the gold production there and a lowering of the unit costs, so that's why we started that one. At La India, the cash costs are $500, so that's very robust. That one also has the upside around the sulfides that we're currently doing work on. Tarachi is a potential larger prize there, which we also continue to do work on. So that's why it makes sense to continue to move those projects forward, and they've gone pretty well on time or ahead of schedule on budget.
Patrick T. Chidley: And the expansion at Kittila, is that still -- that would make pretty good returns with -- at current gold prices?
Sean Boyd: Yes, that one makes really good sense. And that one's a relatively straightforward one from 3,000 to 3,750. The next and subsequent phases are things that are totally discretionary. We're currently studying a shaft. We know at one point, we'll need a shaft to access material as we move to the north, that's better grade and better thicknesses under Rimpi. We also continue to study the potential for a second autoclave. Again, those are fully discretionary, no pressure to move on them. We are going to continue with those studies, we'll have the results of those studies early next year. But with a 40-year mine life, we can continue to produce 150,000 ounces for many, many years without having to invest additional capital to shorten the mine life.
Operator: Your next question will come from the line of Richard Gray of Cormark.
Richard Gray: Just to further on, on Greg's question on your strategic investments. I think the ones in Mexico and Yukon are consistent with where you are already. Now what's the -- what kind of work did you do to be comfortable putting that money into Sulliden in Peru?
Sean Boyd: We did a lot of work. And I think we did a lot of work on the countryside, we did a lot of work on several assets in that country to review potential opportunities down there. At the end of the day, the comfort level had to be with Tim Haldane and his crew in Mexico, they'll be responsible for running any business or keeping track of any investments that we have in the southern part of our business. So they were comfortable with that. Specific to Sulliden, our people simply liked the deposit, liked the opportunity, thought it made good sense to make an investment. And that type of investment in a new country is similar to what we did when we went into Finland, we took an investment in Riddarhyttan Resources. Similar type of structure when we went into Mexico, we had an option agreement on Pinos Altos, so we're able to get ourselves more familiar with the country and the region and our ability to do business there. So that was the reason for taking an investment in Sulliden and doing our homework on the country of Peru.
Operator: And your next question will come from the line of Alec Kodatsky of CIBC.
Alec Kodatsky: Just a general question. Maybe you could give a bit of color in terms of how you've been able to advance both Goldex and La India, and what are the aspects of the project have been able to convince -- or sorry, condense to bring those timelines forward?
Sean Boyd: Well, just in general, and maybe Tim wants to add something on La India, but if you think of Goldex, the plant's in place, the shaft is in place. So it was a situation where it was really lateral development, developing the 2 satellite zones. The only real surface construction or addition would be a pace fill [ph] plant, given the change in the mining method. So something we've done for years and do well in an area where we have some of our biggest operations and we have our technical service groups. So it doesn't really surprise us that the team was able to beat the schedule. At La India, it's almost a similar situation, and that's probably the reason why we invested in it, because it's very similar to Creston Mascota, which was built in less than 18 months. So this was a case where we took possession in November of 2011. The team was able, in a period of 10 months, to complete the economic study, do the engineering, secure the surface rights that they needed, get the permits that they needed. And it's just been a relatively uneventful construction phase right now, and we find ourselves 3 months ahead as a result of that. And don't forget that both of these projects were laid out last year when we were putting out our 2012 guidance. So we were making sure that we were sort of under promising and over delivering not only on our production and cost guidance, but also the projects that were in the pipeline.
Operator: Your next question will come from the line of Joseph Reagor of Global Hunter Securities.
Joe Reagor: Just had 2 things. First one, as you mentioned the starter pit at Tarachi, what should we be thinking of as far as size and scope of that and timing? Or is it too far off at this point to really talk about it?
Timothy Haldane: It's Tim. Tarachi was, we've got a lot of work to do yet, there's a big mineral resource there. And I think the approach we would take is really similar to the approach we took at Pinos Altos with Creston Mascota. As a satellite project, I think we would look at La India and Tarachi as the satellite project. And resource at Tarachi is big enough that better to look at a starter pit, just like we did at Creston Mascota. Maybe a few hundred thousand ounces as a satellite project, and then in the meantime, opportunities to grow it further.
Joe Reagor: Okay, that's fine. And then on Creston Mascota, how long is like the timeframe to get back to normal operating rates there? I know you restarted in March, but how long are we looking to get back to full ramp up?
Sean Boyd: Yes, I think really, it's going to take the balance of the year to get it back to where it was before we shut it down. So it'll be climbing slowly back to a good solid production level. But we just have to build up the inventory and the area available for leaching. And some of the first ore that we stacked on the pad is coarser and lower grade by design, so that it would be good draining material.
Operator: Your next question will come from the line of Mike Jalonen of Bank of America.
Michael Jalonen: Just had a question about your Slide 9, quite instructive there. Look, what projects are not yet approved? I assume Meliadine's in there, but I just want to know what the breakdown is.
Sean Boyd: It's largely Meliadine. And also Kittila shaft would be -- so those are the 2 main ones that make up the bulk of that.
Michael Jalonen: Well, I assume it's $700 million combined for the 2 years? Is that both them? Is that the -- wait, no, I'm looking at the number, $350 million, is that like $350 million for each year?
Sean Boyd: Well, we had -- the initial slide was sort of $600 million over a 5-year period, roughly. So it all depended on how we stretch Meliadine out. But Meliadine is a $1 billion plus, so that's the bulk of it. A Kittila shaft is probably in the $125 million range, maybe a little bit more, depending on the size and the depth. The Kittila autoclave would be sort of $75 million, $80 million. So those are sort of some of the moving pieces of the bigger components that we'll have in front of us to decide next year.
Operator: Your next question will come from the line of Steven Butler of Canaccord Genuity.
Steven Butler: Okay, Sean, a question for you on Kittila. I noticed that while it's all fully underground, it's nice to see that your EUR 77 per tonne minesite cost were experienced. And remind us again what your budget was? I believe it may have been EUR 80, if you can confirm that. And why perhaps, was -- were you better than you thought on the budget at Kittila underground?
Sean Boyd: It was EUR 80. And I'll let Yvon provide the color on why we did a bit better.
Yvon Sylvestre: I think just overall productivity gains and also, the mine has been ramping up from 1,000 to 3,000 tonnes per day, and adjusting manpower and training. So I think most of it is coming through productivity improvements.
Steven Butler: Okay. And Sean, just coming back to Mike's question about capital expenditures and maybe capital on development projects. You noticed in your -- I guess as your Q4 disclosure, about $357 million or in the $350 million of development project spending, indeed, is that numbers that were firmly approved by the board for 2013, specifically?
Sean Boyd: Yes, that's 2013. And the bulk of that is La India and Goldex.
Steven Butler: Sure. So those are not subject to any debate or underdevelopment projects, monies that you might defer if gold prices were to get sloppier again?
Sean Boyd: That's correct. Those were going to continue on. And when you look at next year, Goldex essentially built, La India essentially built. And those land now almost entirely in 2013 instead of partly or significantly carried over into 2014.
Operator: Your next question will come from the line of Anita Soni of Credit Suisse.
Anita Soni: My questions are with respect to the Meadowbank's throughput rates. Is that something that you think you could repeat over the next few quarters? Or was there something extraordinary about this quarter that allowed those higher throughput rates?
Yvon Sylvestre: The throughput rates that were achieved during the quarter will be -- are sustainable during the rest of the year.
Operator: Your next question will come from the line of Paretosh Misra of Morgan Stanley.
Paretosh Misra: Would it be fair to say that if market conditions weren't, you would cut the entire non-approved CapEx first before cutting dividend?
Sean Boyd: Yes. I think as we said, we've had a 31-year history of consecutive annual dividend payments. So the dividend is clearly important to us. So we would like to manage our business so that we can continue to move the company forward and maintain the dividend, and so the dividend is a focus. The way we handle the dividend and the budget processes, it is a line item that comes out first. And then we have a capital allocation pie that we will then allocate to investment opportunities. So we're less concerned about the timing of when expansions, et cetera, start, and we're just trying to run a business that we can grow steadily, generate net cash, free cash flow and protect the dividend.
Paretosh Misra: Okay, great. And then second, I was hoping to hear your thinking on use of debt versus equity for the right M&A opportunity in the current market.
Sean Boyd: Well, we do have capacity to add debt. And we do have capacity to add debt and still retain our investment-grade credit rating. We've done a lot of work on that to see what our financial capacity is. So the preference would be to use our cash if we can, and if we have to take on some debt, we're prepared to take on some debt for the right opportunity.
Paretosh Misra: Great. Any specific credit metric that you guys look at, debt to EBITDA or something?
Sean Boyd: We look at debt to EBITDA. There's certainly a debt to EBITDA convention around the investment grade rating, so that's something we pay attention to.
Operator: [Operator Instructions] Your next question will come from the line of Salim Ben Mansour of BMO Capital Markets.
Salim Ben Mansour: My questions have been answered.
Operator: And your next question will come from the line of John Bridges of JPMorgan.
John D. Bridges: I just wondered, with respect to the lining problem at Kittila, does this mean that the conditions in there are tougher than you expected and you might have to reline on a more regular basis than 5 to 7 years?
Jean Robitaille: John, Jean speaking. No, in fact, John, I don't know if you recall, when we started, we had some hot spot, we mentioned that. And the condition, current condition is, in fact, since the beginning that we were with on-and-off situation and all of the situation, and we're a bit tough on the autoclave. So it's -- no, it's just a normal complete maintenance we're doing and we anticipate to be able to able to return in the normal mode to, let's say, 5 to 7 years and more close of 7 years complete overall.
John D. Bridges: Okay, great. And then if I may, a follow-up, a metallurgical question. LaRonde. Presumably, once you get into all the deep material, then there will no longer be a zinc concentrate and that elevated silver credit.
Yvon Sylvestre: Well, over the next 3 or 4 years, we'll continue to see some base metal into the Lapa [ph] mine plan. That will diminish with time as we get into the deep portions. At one time, we may -- it may become uneconomic to operate the zinc circuit. But at this stage, I don't have the exact timing of that.
John D. Bridges: Okay, so we can keep zinc in on a decreasing level for about 3 years?
Yvon Sylvestre: Right.
Operator: Your next question will come from the line of John Tumazos of John Tumazos Very Independent Research.
John Charles Tumazos: My question is, when you ride your bike out of loose game or fiscal life [ph], but in all seriousness, it looks like with La India and Meliadine, the seventh and eighth mine. The 3 juniors that you put capital into in the last month all look good, which is great. And you got a lot of balls in the air. One of the industry situations that some companies have multiple projects that it's hard to do 1 project right along 3, and which projects are you going to kill in order to safeguard the quality of everything else you're doing?
Sean Boyd: Well, I think if you look at, John, the development over the last year, when we look at our growth going out through 2015, it's really on the back of La India, which is a relatively straightforward project. The restart at Goldex, which is a couple of satellite zones with the potential to add additional satellite zones. So that's relatively straightforward, given its location and our experience there. Other growth is really from LaRonde, which we've been running for 25 years. So we've got really good experience there with the right team and the right understanding. So a lot of that growth is really from things that we've got experience with, and we've proven our ability to deliver on. Meliadine, the decision we made late next year, again, given our experience at Meadowbank, we're in a much better position to execute and deliver on something like that. As for the investment portfolio, I think we strictly do look at it as a portfolio and it doesn't necessarily mean that because we have an investment in something, that it's something that ends up being owned 100% by us. There's a lot of recent examples where parts of our portfolio we ended up selling just based on a different view of value. So I think the nice thing about a portfolio of strategic investments is it keeps guys like you guessing as to which one that we're going to focus on, and we do look at it as a way that we can get close to situations, understand the risks associated with those situations. But more importantly, and this is where we found to be a big part of our success, get a better feel for the upside and the opportunity associated with those strategic investments. And we used that technique very well at Finland, in Riddarhyttan, we used it very well at Pinos Altos, and those are the things that have seen 3- to 4-plus times increase in size based on our own assessment and the -- from the initial investment stage. So we'll continue to sort of monitor it. There's no rush to act and to do things. And it's worked well for us, so that's what we'll continue to do.
John Charles Tumazos: Sean, I don't want you to wear out.
Sean Boyd: No, I'm okay. We're just pumped about the lease, as you mentioned.
Operator: And Mr. Boyd, there are no further questions at this time. Please continue.
Sean Boyd: Thank you, operator. And again, you're all welcome to join us at 11:00 this morning at the Sheraton Centre for our annual meeting if you choose to do so. We have a number of site visits coming up: one in Kittila in May; we have one at La India in September; we also have a couple to LaRonde as well. So if there's an interest in attending any one of those, give Dmitry or Brian a call here, and we can arrange that. So thanks, again.
Operator: And thank you. Ladies and gentlemen, this does conclude the conference call for today. We thank you for your participation and you may now disconnect your lines.